Operator: Greetings, and welcome to the Solid Power’s Second Quarter 2022 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Jennifer Almquist with Investor Relations. Please go ahead.
Jennifer Almquist: Thank you, Stacy, and thank you, everyone, for joining us today. Joining me on the call today are Solid Power's Chief Executive Officer, Doug Campbell; and Chief Financial Officer, Kevin Paprzycki. A copy of today's press release is available on the Investor Relations section of our website at ir.solidpowerbattery.com. Before we get started, I'd like to remind you that parts of our discussion today will include forward-looking statements as defined by U.S. securities laws. These forward-looking statements are based on management's current expectations and assumptions about future events and are based on currently available information as to the outcome and timing of future events. Except as otherwise required by applicable law, we disclaim any duty to update any forward-looking statements to reflect future events or circumstances. For a discussion of the risks and uncertainties that could cause actual results to differ materially from those expressed in our forward-looking statements, please see our most recent filings with the Securities and Exchange Commission, which can be found on our website at ir.solidpowerbattery.com. With that, lI’ll turn it over to Doug Campbell.
Douglas Campbell: Thank you, Jen. Good afternoon, everyone, and thanks for joining us. I'll begin today with a business update. Then I'll pass it over to Kevin for a brief review of the financials, and then I'll return with some concluding remarks. Looking at the second quarter, I'm pleased that our progress and the continued strong execution by the Solid Power team. Since our last update, cell development has remained on track. We currently anticipate 20 amp hour cell deliveries to our joint development agreement partners, BMW and Ford, will be made in August and September, we completed construction of our EV cell pilot line on time, and we made meaningful progress on the construction of our electrolyte production facility. Overall, I'm encouraged by our achievements as we position the company to execute through the next stages of the automotive qualification process. Let me take a moment to talk about each of these things in a little more detail. First, I want to talk about cell development. We remain on track to deliver 20 amp hour cells to Ford and BMW in the third quarter, these cells will be used for their initial testing. While we still have technological challenges to overcome, the delivery of 20 amp hour cells is a meaningful step towards achieving a full scale EV cell suitable for entering A sample validation phase and I want to give a shout out to our development team for their strong execution in making these deliveries on time. Turning to operational developments, I'll start with the EV cell pilot line. As we announced in June, we have completed the installation of our EV cell pilot line. As a reminder, this EV cell line is exclusively dedicated to the production of our full scale EV cell design, with which we intend to enter A sample validation phase and initiate the formal automotive qualification process later this year. While the line is not as flexible as compared to our pre pilot production lines in terms of its ability to produce a wide range of cell sizes, it is designed for much higher throughput. Thus longer-term, we expect the EV cell line to provide us the capability to complete B sample validations phases for both of our automotive partners, which is a significant milestone in terms of qualifying EV cells for vehicle integration. We continue to work to optimize the line and believe we are still on track to begin producing our silicon-based EV scale cells for our own internal testing later this quarter. Next, I want to give a brief update on our electrolyte production facility. I'm pleased to say that construction on our electrolyte production facility is progressing well. As I sit here today, much of the facility’s major structural framework is in place and equipment installation is ongoing. However, we have not been immune to supply chain challenges. We were recently notified by our equipment suppliers that due to component shortages and extended delivery and transit times, we should expect delayed delivery of a select few pieces of equipment. As a result, we now expect powder production to begin during the first quarter of 2023. However, we believe this will have no impact on our cell development and delivery timeline. And this is because we have already increased electrolyte production at our Louisville facility. We believe this production will be sufficient to support our near term needs as we began producing EV scale cells. We currently expect no change to our ability to enter A sample phase later this year. It is also worth noting that we had the opportunity to expedite equipment deliveries to enable us to start production as we originally targeted in 2022. To accomplish that would have required accelerating equipment production, transit and increasing labor efforts. We determined that the small slip in the start of production was not worth the incremental financial cost or the effort it would take by our team, especially given that a later start date did not jeopardize our ability to make partner deliveries on schedule. I'm proud of our team's careful planning and execution, which enabled us to preserve optionality with respect to the start of production at our electrolyte facility. Understanding the importance of these new operational capabilities as well as the performance of our cells, we are in the initial planning stages for an event that we are currently targeting for the first half of 2023. The intent with this event will be to provide a deeper dive into our technology and showcase our new operational capabilities. We will provide more specifics as the date and event details come together. In short, we are encouraged by our progress in the first half of this year. I'm immensely proud of our team's ability to keep our development efforts largely on track despite the significant supply chain challenges currently being experienced by our industry. I believe our team has done a phenomenal job in mitigating near-term complexities as we execute on our 2022 goals. With continued strong execution on these critical operational and development milestones, we believe we are positioning ourselves for long-term success as we look to advance through the next coming stages of our commercialization process. With that, I'll pass it over to Kevin to take you through our first quarter results. Kevin?
Kevin Paprzycki: Thanks, Doug, and good afternoon, everyone. I'll start out with some color on our financial results and then discuss our financial outlook for the year. We generated second quarter revenue of $2.6 million. This brings our year-to-date revenue up to $4.8 million, which is at the high end of our previous full year guidance range. Our team continues to do a great job delivering on program milestones, which were concentrated in the first half of the year. Operating expenses for the second quarter were $17.3 million, and these reflect increased direct program costs driven by higher revenues. Our continued acceleration of both development and operational efforts and investments in our SG&A platforms to support our operations teams and to meet our public company responsibilities. During the second quarter, we recognize the gain of $27.5 million based on the market value change of our warrant liabilities. While our operating loss for the quarter was $14.7 million, the gain on the warrant liabilities pushed our net income to $13.7 million. Turning to our balance sheet and liquidity position, our balance sheet remains strong and our overall cash spend continues to follow our projections. We ended the quarter with total liquidity just over $534 million consisting of cash, marketable securities and long-term investments. We are executing right in line with our accelerated operational and development plans, keeping us in a position where we believe we have the resources we need to achieve our long-term goals. Our cash used in operations during the first half of ‘22 was just under $23 million, and our CapEx was just under $31 million. This reflects the progress the team has made with both the EV sell pilot line and the electrolyte production plan. As we look at the remainder of the year, for revenue, we expect total ‘22 revenue to exceed our guidance range. After two quarters, we are already sitting at the very high end of the $3 million to $5 million target. We do see fewer planned contract milestones in the second half. And so we believe this will drive our second half revenue lower than our first half revenue. For our ‘22 full cash investment, we expect to be right in our original target range of $150 million to $170 million. We do see a slight change in the mix between capital and operational investments. Our capital investments are projected to be slightly higher than originally targeted, with operating investments slightly lower. This was driven by small increases in both equipment prices and delivery costs, minor changes to our operating plans and a solid operational cost focus. Again, we expect ‘22 total cash investment to be right in the targeted range, with the remaining spent pretty evenly split between the third and fourth quarters. This investment is expected to leave our ‘22 ending liquidity right in our targeted $420 million to $440 million range. With that, I'll hand the call back to Doug.
Douglas Campbell: Thanks, Kevin. In closing, we are very pleased with the progress we made in the first half of 2022. I cannot overstate how proud I am of our team's ability to manage the highly variable and uncertain supply chain environment experienced by our industry, while keeping our development plan largely on track and on schedule. Looking further afield, we, as a team, remain laser-focused on executing on our long-term vision. We are strengthening our technology, development and production capability. While establishing a solid foundation, we need to deliver shareholder value. We look forward to updating you on our progress during our next earnings call.
Jennifer Almquist: Operator, will you queue up for questions?
Operator: Absolutely. Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Your first question comes from Mike Shlisky with DA Davidson.
David Johnson: Hi there. This is David Johnson on for Mike, I have a few questions. We've heard from several EV makers that they want to keep multiple lines in the water with respect to battery supply over the next few years. Are you hearing from OEMs looking for multiple solid state sources at this point?
Douglas Campbell: Well, certainly, I can't speak to what strategies might be for our existing OEM partners, BMW and Ford. But I will say that to your comment, I believe it's primarily focused on supply of essentially sources of lithium-ion today, which makes sense because again, they are -- they tend to not want to sole source things. In terms of next generation technology such as solid state, again, it's not something I can really speak to, I cannot think of any specific examples where I'm seeing any one particular OEM placing multiple bets. At the end of the day, we are the partner for both Ford and BMW, and we continue to focus on executing what we're doing for those two auto partners.
David Johnson: Gotcha, that's great color. And has inflation then changed your expense outlook much? Has it changed your capital expenditure view at all?
Kevin Paprzycki: No, not really. We've seen little minor ups, minor downs. And again, I think for every significant increase we've had, I think the team has done a great job of countering it. So it's been pretty minor overall. And that's why I think we're right in line with our spend plan for the year.
Operator: [Operator Instructions] There are no further questions. I'd like to turn the floor over to Doug for closing remarks.
Douglas Campbell: Well, yes, I appreciate everyone's time this afternoon. As we stated earlier, ‘20, the first half of 2022 was a very good year, again, despite the challenges that we've seen in our industry with respect to supply chain and inflation. We've kept expenses largely in check with our plans and our schedule has remained on track. So we are looking forward to continuing on that trajectory for the second half of 2022. So thank you all.
Operator: This concludes today's teleconference. You may disconnect your lines at this time, and thank you for your participation.